Operator: Good morning. Welcome to Sage Therapeutics' Second Quarter 2022 Financial Results Conference Call. Currently, all participants are in listen-only mode. This call is being webcast live on the Investors and Media section of Sage’s website at sagerx.com. This call is the property of Sage Therapeutics and recording, reproduction, or transmission of this call without the expressed written consent of Sage Therapeutics is strictly prohibited. Please note that this call is being recorded. I would now like to introduce Helen Rubinstein, Director of Investor Relations at Sage.
Helen Rubinstein: Good morning, and thank you for joining Sage Therapeutics' second quarter 2022 financial results conference call. Before we begin, I encourage everyone to go to the Investors and Media section of our website at sagerx.com where you can find the press release related to today's call as well as the slides that contain supplemental detail. I'd like to point out that we will be making forward-looking statements which are based on our current expectations and beliefs. These statements are subject to certain risks and uncertainties and our actual results may differ materially. Please consult the risk factors discussed in today's press release and in our SEC filings for additional detail. We will begin the call with prepared remarks by Barry Greene, our Chief Executive Officer, who will provide an overview of our progress during the second quarter. We will also be joined by Al Robichaud, our Chief Scientific Officer, who will review recent progress and development activities across our program; Chris Benecchi, our Chief Business Officer, who will provide an update on our progress preparing for the launch of the zuranolone in MDD and PPD, if approved; and Kimi Iguchi, our Chief Financial Officer, who will review the financial results from the quarter. With that, I'll now turn the call over to Barry.
Barry Greene: Thanks, Helen, and thank you, everyone for joining us this morning. The first half of 2022 was important for Sage, as we continued our focused execution across our pipeline. We started the year by meeting our goals and achieving expected milestones on or ahead of planned timelines. We have a tremendous sense of urgency to create innovation and meaningful medicines for people who currently lack adequate treatment options. Our goal is to decrease disability and suffering, while improving the health and productivity of people, their families, and the healthcare system. We're making progress across the entire company as we work to further establish Sage, as a leader in brain health and a top tier of pharmaceutical company. I'd like to now take a moment to review our progress in the second quarter and offer some context as to how we are thinking about the future of Sage. Starting with the depression franchise, we and Biogen recently announced positive results from the Phase 3 SKYLARK Study, evaluating zuranolone in women with postpartum depression or PPD. We believe the totality of the data generated with zuranolone support the potential of zuranolone as a rapidly acting, generate well tolerated oral therapeutic to treat major depressive disorder or MDD, as well as PPD with sustained effect. People with depression deserve new treatment options. We believe zuranolone has the potential to deliver that important new option. With the placebo controlled studies of zuranolone in MDD and PPD reported, we are focused on completing the NDA filing for zuranolone, which we announced the start of, in May, as a rolling submission. As we've shared, our NDA will include both MDD and PPD in one filing and we believe this is an exciting opportunity to accelerate our planned submission of PPD, providing the opportunity to bring zuranolone to people with MDD and PPD as efficiently as possible. Our planned filing timeline, if we receive prior-year view, provides us a possible PDUFA date for zuranolone in the third quarter of 2023. Work is well underway and on track for the potential launch of zuranolone in MDD and PPD. Strategically, we're thinking big about the opportunity in both MDD and PPD, as we develop a focused launch plan, which we expect to scale with success. To launch successfully, we'll need to continue to deepen our engagement with key stakeholders around the profound unmet need that exists for those living with MDD and PPD. We plan to educate payers on the zuranolone value proposition, which is supported by the weight of the clinical evidence from the LANDSCAPE and NEST programs. Lastly, we expect to further build internal capabilities intended to enable strong launch execution. We believe that if we continue to successfully act on these items and execute on our launch plans, clinicians will prescribe zuranolone in MDD and PPD with a sense of urgency, patients with MDD and PPD will ask for zuranolone, and payers will enable access to this critically needed treatment. All of this is important, if both indications are approved. To further support these preparations, we announced this morning that Chris Benecchi has been promoted to Chief Business Officer. Chris will provide more details on our ongoing commercialization preparation efforts later in the call. Additionally, we made progress during the quarter in our Neuropsych franchise led by SAGE-718, a wholly-owned first-in-class NMDA PAM. As you know, SAGE-718 is being developed as potential oral therapy for certain cognitive disorders, starting with neurodegenerative diseases, specifically Huntington's disease, Parkinson's disease and Alzheimer's disease. Impaired cognition is a significant morbidity of these diseases and can have a dramatic impact on people's ability to live life independently and to thrive. We're committed to advancing the SAGE-718 program with the goal of further demonstrating its therapeutic potential and novel approach. Our neurology franchise led by SAGE-324 is being evaluated as a potential treatment for people suffering from essential tremor and other neurological disorders. Movement disorders can make the simplest activities of daily life difficult if not impossible. We and our collaboration partner Biogen believe based on the data seen to-date, we have the potential to make a meaningful impact on the ability of those living with the essential tremor to fulfill activities of daily living. We made encouraging progress across all our therapeutic areas in the second quarter and to-date. We're closer to delivering our science to patients and creating value for society, ultimately advancing our mission to fearlessly lead the way to create a world with better brain health so every person can thrive. I want to thank the entire Sage team, the patients in our clinical studies, their families, all those involved in running clinical studies and our collaborators for the hard work and dedication. The next 18 months will be pivotal for us as we continue to execute on our zuranolone program and across our broader pipeline and we're excited for the journey ahead. Even in these extraordinary times, I'm confident we can deliver the next chapter in our success. With that, I'll turn the call over to Al for a more detailed discussion of our portfolio progress and current clinical expectations. Al?
Albert Robichaud: Thanks, Barry, and good morning, everyone. As Barry mentioned, we've made important pipeline progress during the second quarter. I'm pleased to detail our advancements as well as comment on our early development programs. Starting with our depression franchise. We announced in early June that the SKYLARK Study of zuranolone 50 milligrams and postpartum depression met its primary endpoint, a change from baseline in HAMD-17 total score at day 15 compared to placebo and all key secondary endpoints change from baseline in HAMD-17 total score at days 3, 28 and 45 compared to placebo as well as change from baseline in the CGIS score at day 15. Notably, zuranolone 50 milligrams demonstrated a statistically significant and clinically meaningful reduction depressive symptoms compared to placebo as measured by change from baseline to HAMD-17 at day 15 of 4 points and a corresponding P-value of 0.0007. These results are remarkable and we will enforce the data observed across the zuranolone clinical development program in which treatment with zuranolone resulted in a rapid reduction in depressive symptoms that was sustained throughout the follow-up period with a generally well tolerated safety profile. SKYLARK Study underscores the potential for zuranolone to be an important and differentiated therapy, if approved and completes the placebo controlled trials in both our LANDSCAPE and NEST programs in MDD and PPD. We also presented data from a human abuse potential study with zuranolone in the second quarter. In this study, zuranolone 30 milligrams and 60 milligrams, both doses in the therapeutic range demonstrated lower abuse potential compared with alprazolam 1.5 milligrams and 3 milligrams, and 90 milligrams of zuranolone was comparable to alprazolam. These data along with our clinical data support viable medical use and lower likability and abuse potential for zuranolone. We do expect that zuranolone will be a scheduled for drug, if approved. Findings from our market research have shown that clinicians of both experienced and comfortable prescribing schedule for drugs. I'd also like to highlight that we announced in early June that enrollment is complete in the SHORELINE Study of zuranolone and MDD. SHORELINE is the largest naturalistic study done to date in depression and is examining as needed intermittent dosing over the course of one year. We recently presented data from the previously reported cohort of the SHORELINE Study at the American Society of Clinical Psychopharmacology Annual Meeting. As a reminder, in the 50 milligram cohort of the SHORELINE Study, 80% of patients who responded to the initial two-week treatment with zuranolone and 50 milligrams only received one or two treatment courses during their time in this year-long study, with a median time to the second treatment course of 249 days. These data support our belief that zuranolone can have remarkable durability. We look forward to sharing more data from the Zuranolone Clinical Development Program in key scientific forums over the next several quarters. I'll highlight specifically our upcoming data presentations at the 2022 Psych Congress in September. In addition, we are sharing an update on both the RAINFOREST and REDWOOD Studies today. As a reminder, RAINFOREST Study was designed to investigate the efficacy and safety of 30 milligrams of zuranolone on sleep architecture and MDD, the same objective primary endpoint measured in trials of insomnia disorders. REDWOOD Study was designed to examine fixed schedule intermittent dosing of 30 milligrams of zuranolone throughout the course of a year. This study was also designed to complement the SHORELINE Study, which examine the as needed intermittent dosing of zuranolone. Based on our discussions with the FDA at the time, we suspended both the RAINFOREST and REDWOOD studies in early 2020 before they were completed. These decisions were based on our plans to advance the program with the 50 milligram dose of zuranolone. Furthermore, we believe and confirmed with the agency that neither study is needed to support our NDA filing. That said, I'd like to share some high level findings from these studies. Starting with the RAINFOREST Study, although, terminated early, the study provides important insights on the potential effect of zuranolone and the improvement of sleep parameters in patients with MDD. The study was not fully enrolled with only 87 patients randomized. The rationality of the improvement in sleep architecture was clear, with zuranolone 30 milligrams showing numerical advantage over placebo in objective measures of quality of sleep, including wake after sleep onset, total sleep time, latency to persistent sleep, median number of awakenings, median duration of awakenings and endpoints involving REM sleep. Insomnia is one of the most common symptoms associated with depression, and disturbances of sleep are associated with the decline in quality of life. It's very clear that improving sleep and depression is associated with better outcomes, making the findings from our RAINFOREST Study encouraging as they suggest that zuranolone may provide a steep benefit to patients suffering with MDD. As many antidepressants can negatively impact sleep architecture, this would be an exceptional potential benefit of zuranolone treatment. We believe that data across the zuranolone clinical development program along with the directional learnings from the RAINFOREST Study reinforce that zuranolone’s mechanism of action may address multiple aspects of depression, including the core depressive symptoms as well as symptoms of anxiety and insomnia. Turning now to the REDWOOD Study, the fixed scheduled intermittent dosing of 30 milligrams of zuranolone, 53 patients with MDD were enrolled in the open label phase of the study and two patients proceeded to the randomized phase before it was terminated. Given the low number of patients were randomized, there isn't enough data from the REDWOOD Study to identify any trends. What we can say is that no additional safety finds were reported. In terms of retreatment, we do have data from another study in the clinical development program, the open label SHORELINE Study in MDD that I mentioned earlier. We believe these data afford the closest real world evidence we have to date on the potential of zuranolone therapy in the treatment of MDD may help guide patients and healthcare providers in treatment choices if zuranolone is approved. Additionally, in the SHORELINE Study, for those patients who use one or more retreatments, efficacy and safety outcomes were similar to those observed in the initial treatment course. We look forward to sharing the data collected from the RAINFOREST Study as well as additional data across the entire clinical development program at upcoming conferences. Now, I'd like to turn to our neuropsychiatric franchise led by SAGE-718, our lead NMDA receptor positive allosteric modulator that is an investigational oral therapy being developed for certain disorders where impairment of cognition is one of the main drivers of disability. SAGE-718 is one of our wholly-owned programs and was granted Fast Track Designation by the FDA as a potential treatment for cognitive impairment in Huntington's disease or HD. We also investigated SAGE-718 in people with mild cognitive impairment due to Parkinson's disease or PD in people with mild cognitive impairment and mild dementia due to Alzheimer's disease or AD. SAGE-718 data have been consistent and demonstrated improvements on important tests of executive function across multiple open label studies to date, including the PARADIGM and LUMINARY Studies in people with mild cognitive impairment due to PD in people with mild cognitive impairment and mild dementia due to AD, respectively. Additionally, in a placebo controlled Ketamine Exposure study, subjects treated with SAGE-718 demonstrated statistically significant improvement on several cognitive tests including the two-back tests compared to those treated with placebo at multiple time points. In our HD clinical studies, we are making progress in enrolling the Phase 2 DIMENSION Study and the Phase 2 SURVEYOR Study in people with HD cognitive impairment. We believe the complementarity of these two studies will help us understand the potential benefits of SAGE-718 in HD. The DIMENSION Study will evaluate the difference between treatment with SAGE-718 and placebo on cognitive performance in Huntington's disease, the SURVEYOR Study on the other hand will help us interpret the clinical meaningfulness of the cognitive effects observed in the DIMENSION Study. Basically, the SURVEYOR Study will help us to answer the, so what question? As in, so what do these cognitive effects mean for patients and activities of daily living and what impact the SAGE-718 have on their everyday lives. Based on the results of the DIMENSION and SURVEYOR studies, we will consider opportunities to engage with regulators with the goal, if our studies are successful to bring SAGE-718 to people with HD cognitive impairment as quickly as possible as there are no current therapies available today. Turning to our other clinical programs in neurodegenerative diseases, enrollment in a PRECEDENT Study, a Phase 2 placebo controlled study of SAGE-718 and people with mild cognitive impairment due to PD is going very well. We also remain on track to initiate a placebo controlled Phase 2 study with SAGE-718 and people with mild cognitive impairment and mild dementia due to AD planned to begin in late 2022. We look forward to sharing data from studies complete with SAGE-718 to date at the upcoming European College of Neuropsychopharmacology and American College of Neuropsychopharmacology Annual Meetings later this year. Lastly, I'd also like to highlight recent advancements in our neurology franchise led by SAGE-324 and next-generation positive allosteric modulator of GABAA receptors, which we believe holds significant potential in the treatment of neurological conditions like essential tremor or ET, a disease that has limited treatment options for patients and has had no innovation for over 50 years. We are pleased to announce that we have initiated our Phase 2 long-term open label safety study with SAGE-324 in ET. The aim of this study is to assess the long term safety and tolerability of SAGE-324 over a multi-year period with the insist of treatment emergent adverse event as the primary endpoint. In addition, we are continuing to enroll at our Phase 2b KINETIC 2 dose ranging study evaluating SAGE-324 in ET to optimize the dose and frequency and continue to expect enrollment completion to occur in late 2022. As with our other franchises, we look forward to sharing data from previously completed studies with SAGE-324 in the coming months, including in our upcoming presentation at the International Parkinson and Movement Disorder Society Annual Meeting. To close, for me, it's been a rewarding journey over the last decade and I'm proud of the team was moved this dynamic pipeline forward. We're excited about what's to come in the next 18 months and believe our organization is poised to continue building on momentum generated from the first half of the year as one of the leaders in brain health. Now, I'll turn the call over to Chris to provide additional context on our planned approach as we prepare for the potential commercialization of zuranolone in MDD and PPD. Chris?
Chris Benecchi: Thanks, Al. I'm pleased to be with you all this morning to share updates on our commercialization preparations for zuranolone. Patients with depression urgently need new treatment options that are safe, work quickly and offer lasting effects. An increase in the global prevalence of depression has been consistently reported since 1990 and approximately one in five adults in the United States will experience MDD at some point in their lives. Current treatments for MDD and PPD are often not adequate to address the profound challenges of treating depression. This on top of more people seeking treatment for depression, a healthcare system that fails to appropriately screen and assess, and a significant portion of the population failing to receive care. To put it simply, the current treatment paradigm relies on a try and failed approach that not meet the needs of many people with MDD and PPD. Something must change, because those who suffer from depression, many of whom are family and friends deserve better. Sage is prepared to be at the forefront of that solution, with our plans for a single NDA filing for zuranolone that will include both MDD and PPD indications, we have a clear commercialization strategy which prioritizes stakeholder engagement, leverages disease state awareness and build capabilities that we believe will enable us to execute at a high level and scale with success. To rapidly and effectively reach clinicians and patients with MDD and PPD at launch, if zuranolone is approved, we're working with our collaboration partner Biogen on an omnichannel approach that prioritizes digital channels right from the outset. I'd also like to provide some high level thoughts on our approach to market access. Payers are telling us that the unmet need for patients with MDD and PPD is clear. The prevalence of depression continues to rise despite available treatments and new treatment options that were quickly or desperately needed. In our early engagements with payers, we have also heard that they believe zuranolone has the potential to be a promising new option for the treatment of both MDD and PPD with a new MOA and with clinical data suggesting the potential to provide rapid and sustain relief and depressive symptoms for patients and a generally well tolerated safety profile. To that end, we are thinking strategically about pricing and access and working to design and approach that considers the needs of payers, healthcare professionals and most importantly patients and their families. Our overall goal with zuranolone, if approved is to ensure that appropriate patients with MDD and PPD, who are prescribed zuranolone can quickly receive it. As such, we believe that it's essential that we work with payers to try to minimize barriers that can impact the healthcare professionals' ability to prescribe zuranolone to treat MDD and PPD, so their patients have the potential to obtain rapid and sustained relief of their depressive symptoms. We look forward to sharing more details regarding our efforts to lay the foundation for the successful commercialization of zuranolone and an upcoming commercial spotlight event which we plan to host later this year. Now, I'll turn the call over to Kimi for a review of our financials. Kimi?
Kimi Iguchi: Thanks, Chris. Our financial results for the second quarter of 2022 are detailed in our press release issued this morning. I'd like to take a moment to provide some context and highlight a few key points. At the end of the second quarter, we continue to be in a strong cash position that we believe will provide our organization with the flexibility to make strategic investments across our franchises and support the launch of zuranolone if approved by the agency. Our net loss for the second quarter of 2022 was $126.3 million and we ended the quarter with cash, cash equivalents and marketable securities of $1.5 billion. Turning to operating expenses. R&D expenses increased to $77.3 million in the second quarter of 2022 compared to $66.2 million for the same period in 2021. The increase in spend was primarily related to spending on SAGE-324 and our wholly-owned pipeline, which includes SAGE-718. Looking forward, we expect R&D spend to continue to increase in the coming quarters as we advanced the six planned and ongoing Phase 2 studies with SAGE-718 and SAGE-324 that Al mentioned earlier. Importantly, the flexibility provided by our strong cash position allows us to invest in our wholly-owned pipeline where our confidence is demonstrated by our advancement of three potential indications for SAGE-718 and continued work across SAGE-689, SAGE-319 and SAGE-421. SG&A expenses increased to $52.4 million in the second quarter of 2022 compared to $43.3 million for the same period of 2021. The increase is primarily related to hiring employees to support ongoing activities in anticipation of potential future product launches of our product candidates. As you heard from Berry, we are preparing for the potential launch of zuranolone and we expect that SG&A expenses will increase as we continue commercial preparation. As part of our collaboration with Biogen, we're shortly developing zuranolone and SAGE-324 with a 50-50 cost sharing in the United States. During the second quarter, we recorded $23.8 million in reimbursement from Biogen’s related to our collaboration and license agreement. We believe that the work we're doing to prepare for commercialization now will provide an important foundation for our organization going forward, including potential future launches with our wholly-owned programs if for successful. Looking ahead into the rest of 2022, we're reaffirming the financial guidance that we provided earlier this year. We anticipate having cash, cash equivalents and marketable securities of approximately $1.3 billion at the end of 2022. We do not anticipate receipt of any milestone payments from collaborations in 2022. We believe that our current cash, cash equivalents and anticipated funding from our ongoing collaboration and potential revenue will support operations into 2025. Despite the uncertain market environment we all face, SAGE continues to act from a position of strength. I'm confident that we'll continue to execute throughout the remainder of 2022 in our pursuit to deliver life changing brain health medicines so every person can thrive. Moreover, our approach at SAGE enables quick decision making, facilitating disciplined investments that we believe will provide value over the long-term as we execute our efforts to lead in brain health. While we're thinking big about the zuranolone opportunity, we're very mindful of the capital allocation prior to launch. We plan to invest appropriately and be prepared to scale with success. I'll now turn it over to Helen to handle Q&A with the operator. Helen?
Helen Rubinstein: Thanks, Kimi. Before I turn it over to the operator, I'll ask that you limit yourself to one question. If you have an additional question, please feel free to return to you. Now, I'll turn it over to the operator to handle Q&A. Operator?
Operator: [Operator Instructions] Our first question comes from Salveen Richter from Goldman Sachs. Your line is now open.
Unidentified Participant: Hi. Thanks for taking our question. This is Tommy (ph) on for Salveen. And our question is about RAINFOREST. While RAINFOREST was terminated, are there plans to share the data with the agency? Is there either possibility that findings from the study could be included on the label in some way? And are there plans to restart these studies with the 50 milligram dose? Thank you.
Barry Greene: Yeah, Tommy. Thanks for the question. So we will be presenting data from the RAINFOREST Study, which as you mentioned, the 30 milligram dose was terminated early. We made that decision in conjunction with the agency. And as a reminder, neither Rainforest or Redwood data are required for the NDA filing. Of course, those data will be shared. The data we saw in Rainforest was consistent with the totality of data seen to date with zuranolone. Reduction in depressive symptoms, reduction in anxiety, and importantly, this is what specifically being studied improvement in sleep and sleep architecture. It's too early to talk about exactly what's in the label or what we'll be able using promotion, but these findings will be important as we commercialize zuranolone. Chris, anything to add?
Chris Benecchi: No, Barry. We're excited about the opportunity and we'll continue to see the impact of Rainforest as we the future opportunities moving forward.
Barry Greene: Thanks, Tommy.
Operator: Thank you. Our next question comes from Ritu Baral with Cowen. Your line is now open.
Ritu Baral: Good morning, guys. Thanks for taking the question. I wanted to ask about how confident you feel about the regulatory pathway that you're going to be embarking on shortly? Specifically, if there are any learnings from the Axsome precedent and the ongoing Axsome review that you've taken away or that you've gleaned that will better prepare you for what the FDA wants on the outset versus in the process?
Barry Greene: Yeah, Ritu. Thank you for that question. I would say, we're highly confident in the interactions we've had with FDA stemming back to 2020 when we outlined the landscape and nest programs. We've confirmed multiple times with the agency the totality of the data required for NDA filing. We started that rolling submission in May of this year and plan to complete a single filing for both MDD and PPD by the end of the year. I can tell you that all modules are in-hand and going very well. The non-clinical CMC modules as well as the clinical modules are all well on schedule. Obviously, there are things that can happen that are unforeseen, but we feel very good about all the modules that are in preparation. and the interactions we have with the agency. And I believe that a fast acting antidepressant that's oral and short courses desperately in the world today and we believe the agencies understand that.
Ritu Baral: Have the conversation still been interactive relatively real time, I guess?
Barry Greene: I'd say there's regular interaction and updates with the FDA. There's both the formal and then informal kind of email interactions. But yes, there's been regular interactions and things are going well. We anticipate the filing by the end of the year. And as we said on the call, if we get prior to your view, a PDUFA date in the third quarter of next year and we're excited for the interactions.
Ritu Baral: Great. Thanks.
Barry Greene: Thanks, Ritu.
Operator: Thank you. Our next question comes from Paul Matteis with Stifel. Your line is now open.
Paul Matteis: Hey, thanks so much. Following up on Ritu's question. On the regulatory side, can you clarify how are you framing SHORELINE in the NDA? Are you framing this study as a maintenance study or are you framing this as sort of a broader open label safety study with more qualitative conclusions. And then to that point, what are you proposing for redosing in the real world? Are you proposing something that is as restricted as SHORELINE, where you have to wait at least six weeks and you have very specific criteria for monitoring or are you kind of proposing a paradigm where physicians have a lot more discretion than that? Thanks so much.
Barry Greene: Yes. Thanks, Paul, for the question. So, let's -- SHORELINE is the largest naturalistic study ever on in depression. It's a study where patients were enrolled and then asked every other -- every two weeks how they were doing. And as you're aware, 80% of those enrolled in SHORELINE that responded required only one or two weeks course in the course of the year. So two to four weeks of drug in the course of the year and a majority of those that respond to SHORELINE only needed one course of treatment in the year. And of course, retreatment for patients that responded was consistent and no additive safety issues. So the totality of the SHORELINE data will be included in the NDA filing. It's a large safety database and we believe it will be instructive to clinicians on when retreatment can be used. And I'll ask Chris to comment on, how this is a paradigm shift in the treatment of depression, but not necessarily a paradigm shift in a clinician's practice. So we're going to submit the SHORELINE as a safety data, we believe it will be instructive to retreatment. It's a little early to talk about exactly what will be in the label of the guidelines for retreatment. But I'll remind you that physicians can use zuranolone or any other approved drug as they see fit and as they learn more about the opportunities of how to use these medicines. Chris, you want to talk about impact to practice?
Chris Benecchi: Yeah, sure. Thanks, Barry. So the profile seen was own in clinical trials to date. In particular, the landscape studies have demonstrated that with respect to zuranolone, we seen rapid and sustained reduction in depressive symptoms and a generally well tolerated safety profile with a short 14 day course of treatment as the [indiscernible] physicians have prescribed the product. So with respect to the product being used, this will enable physicians the opportunity to offer patients, treatment free periods in between depressive episodes so that patients don't have the indications on a chronic basis. Now what we've heard from key opinion leaders that we've engaged with market research, this in and of itself is an advancement in treatment, functionally with regard to how they've been treating depression, this is a change in the treatment paradigm. But this does not really reflect a change in the way the physicians are actually managing. What we would expect is that with zuranolone that a physician would prescribe the patient a two-week course of therapy, they would second with the patient at the end of that two week period where they would hear the efficacy and the tolerability profile of the product. Patients would then go on to experience symptom free life and as needed at the six month period [indiscernible] the patient checked back in with the physician with an update. Now obviously in between that two week period if there were one of the [indiscernible] of depression, if that were to return for the patient to patient then certainly would reach out back to the clinician and the clinician could prescribe the second two week course. So again, as I said, this really reflects a change in the treatment paradigm, not a change in the way that clinicians are actually managing their patients and we're very excited about the opportunity to introduce this as we hear from clinicians they're waiting for zuranolone.
Paul Matteis: Thank you. And I really just want to clarify on the regulatory side, given the whole back history with Redwood and the utility of that study versus Shoreline. Do you look at Shoreline as a maintenance study with the ability to have maintenance claims from that or yeah, just trying to get a little more specific there?
Barry Greene: Yes, Paul. Thanks. So again, we're going to submit Shoreline as part of the filing. It's a large safety database. We believe it will be instructive to retreatment. When we met with the agency and I think it was the fall of last year, we confirm that Shoreline would be sufficient as part of the filing in the Redwood study no longer needed to be run because we had sufficient data of retreatment. So we'll provide more as we interact with the agency and get into label negotiations.
Paul Matteis: Okay. Thanks, Barry.
Barry Greene: Thanks, Paul.
Operator: Thank you. Our next question comes from Ami Fadia with Needham. Your line is now open.
Ami Fadia: Good morning. Thanks for taking my questions. Maybe just a follow-up to the previous question. Do you anticipate the indication for the product to be just treatment of depression or would it be classified as something more specific such as acute treatment and do you expect the FDA to limit the number of treatments in a year? And then I have a question on the pipeline.
Barry Greene: Ami, thanks for the question. So in terms of specifics of the label, again, it's too early to talk about label specifics until we really get into it with the agency. We've said previously and we anticipate an indication statement something like for the treatment of MDD and PPD, so pretty straightforward -- pretty straightforward indication statement. As we talked about with Paul's question, we believe SHORELINE will be instructive for retreatment. We've got data up to five retreatments in the course of the year and we believe that the total data set will be instructive for retreatment. As Chris highlighted, the normal course of practice would be to prescribe medicine, in this case, if it's zuranolone rather than instructing the patients that hang in there, this could take four to eight weeks to work, we believe that patients will be instructed that please take this at night with your dinner. You may feel better in two or three days. take the full two course treatment. And as normal, I'll check back in view in two weeks. If you're dark and mood, anxiety increases or sleep disruption occurs again. Please check back in. Otherwise, we'll see in six months. So as Chris highlighted, in the normal course of practice and if there is retreatment required, we believe that we've got data that instructs on retreatment.
Ami Fadia: So Barry, do you still anticipate AdCom or that's less clear at this point?
Barry Greene: No change in anticipation or not, whether an AdCom is used or not. It's a sole discretion of the agency. There's no regulatory statute for exactly how or when they share with us. We think that we'll learn more clearly after our NDA filing. And again, if we get prior review, a PDUFA date in the third quarter of next year. Of course, we're preparing for an AdCom and we are going to be very well prepared if they choose an AdCom. If they don't, want an AdCom and it signals speed of approval, that would be great. If they do hold an AdCom, we look forward to that as well because it'll allow us to feature the totality of the zuranolone data and really put it on display.
Ami Fadia: Got it. I guess, I've asked roughly one or two questions, but maybe just one quick one on 718, when do we anticipate data from one -- from any of these ongoing studies? And if you start to see positive data come through, would you anticipate developing all of these three indications on your own or would you consider partnering? Thank you.
Barry Greene: Yeah. Thanks, Ami. We're really excited by the SAGE-718 program, a first-in-class NMDA PAM. We recently announced the initiation of studies for SAGE-718in Huntington's, mild cognitive impairment and MCI due to Parkinson's disease and we anticipate starting a placebo controlled Alzheimer study by the end of the year. And as you're well aware, we presented data from the various studies showing consistent improvement in executive function learning in memory. So as we get these studies up and running and enrolling, we'll provide further guidance on exactly the timing of data readouts. In terms of Phase 3, that's something that we'll make a determination on once some of the Phase 2s readout. Clearly, the Huntington studies have been designed in a way that if positive we'll meet with the agency to discuss the fastest way of getting SAGE-718 to the market.
Ami Fadia: Okay. Thank you.
Barry Greene: Thanks, Ami.
Operator: [Operator Instructions] Our next question comes from Jay Olson with Oppenheimer. Your line is now open.
Jay Olson: Good morning. Thank you for the update and for taking the question. Can you please remind us the original objectives of the REDWOOD and RAINFOREST studies and whether or not you plan to continue pursuing those objectives and whether any of those study results are going to be included in the NDA filing? Thank you.
Barry Greene: Yeah. Thanks for the question, Jay. Let me first comment that the discussion you led with Greg Mattingly, was just outstanding. Thanks for doing that. I think it really highlighted how someone who uses zuranolone and thinks about that drug that was very instructive not only for us, but I think for many, in the community trying to understand the use of zuranolone and so thanks for that. In terms of RAINFOREST and REDWOOD, we don't anticipate running a REDWOOD Study now or anytime in the future. As we've highlighted, we believe that the treatment data in SHORELINE, which will be part of the submission, it will be instructive not only from a safety database perspective, but in terms of how retreatment can be used. In terms of RAINFOREST, with the study MDD, those with insomnia, we directionally saw very positive results consistent with the totality of the zuranolone data. And that's a study we might run-in the future. We have more to do with our collaborators, Biogen throughout outline the unmet needs in the Phase 3b/4. So stay tuned for more on that later.
Jay Olson: Great. Thank you.
Barry Greene: Thanks, Jay.
Operator: Thank you. Our next question comes from Yasmeen Rahimi with Piper Sandler. Your line is now open.
Swapnil Malekar: Hi. This is Swapnil on for Yas. Thank you for taking our questions. So regarding the SHORELINE study, you mentioned that the median time to the second treatment course was 249 days. Can you tell like what's the shortest and the longest duration before which the patient needed the second dose? And what's the longest time duration for safety analysis in the SHORELINE to date? Thank you.
Barry Greene: Yeah, Swapnil. Thanks for the discussion. So SHORELINE is a very instructive study. Again, it was the largest naturalistic study run to date in depression. We've enrolled over 1,500 patients and it was a one year duration study. So the majority of patients that responded in SHORELINE required only one, two week course in the course of the year and the 80% of patients had one or two, two week courses in the course of the year. So it really speaks to the effectiveness and durability of SHORELINE. The fact that the median time to retreatment was 249 days, I think is demonstrable that the majority of patients first depressive episode was treated and treated well, and then potentially another trigger event caused another depressive episode requiring a retreatment. But again, a majority of those responded did not require retreatment. In terms of a short and long duration, we'll be providing more data as prevent a SHORELINE, as we presented a SCP, more details for SHORELINE in meetings to come.
Operator: Thank you. Our next question comes from Yatin Suneja with Guggenheim Partners. Your line is now open.
Yatin Suneja: Thanks for taking my question. Just a question in line, I mean, we've recently seen the HAP studies. We're just trying to get a sense of some of the DDI work that you might have done. Can you just comment on that? And also you're showing positive impact on sleep across multiple studies. So can zuranolone be combined with some of the sleep aids or sedative anxiolytics that are out there? So just trying to get a sense of the combo use? And also if you can characterize some of the driving study that you might have conducted, what would the key findings? Thanks.
Barry Greene: Yeah, Yatin. So I guess a few questions there. Let me start with half in driving and then I'll ask Al to comment on the drug to drug interaction study. So any CNS drug entering the market must be analyzed for abuse potential, the HAP studies are one of the standard elements used by the agency when considering abuse potential for CNS active medication. And as a reminder, there's a 90 day DEA review period following if it happens PDUFA approval. So the HAP study was around was consistent with the FDA guidance on this type of study and we expect the FDA to consider data from the HAP study in the entire development program of zuranolone for recommendation to the DEA. We believe that given what we know and the brain penetrance of zuranolone that will be scheduled for drug, which is not an issue for prescribing. And again, we're entirely excited about the totality of zuranolone in both MDD and PPD, clinically meaningful reductions in depressive symptoms with consistent improvements in mood and anxiety, the rapid onset of action, which we talked about as little as two or three days, the two week treatment course and the well tolerated potential certainly is an oral therapy that we clearly believe the world needs. In terms of driving studies, those are complete and will be part of the submission. There -- I'll call them checkbox studies that require to be run. We anticipate as in many drugs, including over the counter drugs, there'll be a warning in the label something like please don't operate or drive or operate heavy machinery until the full use of the drug is known. That's consistent with many drugs, even drugs like Benadryl, which are used over the counter. Al, you want to talk about the DDI, DDI studies?
Albert Robichaud: Sure, Barry. We call it most of the studies that we've done in the past. Most of the studies we've done in the past were -- many of the patients were depressions at the time. So what we've seen consistently throughout all the studies that we've seen no differences in sort of safety profile of those patients on whether they're on another drug or they're not. In addition, you recall the [indiscernible] comment with a dose of antidepressant. And we again saw a pretty much the same response as well as the safety profile of those molecules, not accounting effect associated with the antidepressant. Our pre data and clinical data suggest that we don't see any issues with dosing compound with other antidepressants, as I said, and most of our clinical trials had patients in them on stable antidepressants. So it doesn't play with the use and we don't see any differences in the response rate between those two patient sets.
Operator: Thank you. Our next question comes from Marc Goodman with SVB Leerink. Your line is now open.
Marc Goodman: Yeah. Hi. You mentioned about the launch and how you're going to scale appropriately with respect to spend. Can you give us a little more color what you mean there? Are you trying to say that we should not expect 500 person sales force between the two companies and aggressive DTC on the TV is six months after launch or are you trying to say that it's going to be something different than that or maybe you could just give us a sense of what you meant there? And then just on DIMENSION and SURVEYOR, what's the timeline, best timeline you can tell us for when you think those Phase 2s will read out? Thanks.
Barry Greene: Yeah. Thanks, Mark. And I'll ask Chris and actually Kimi to comment as well. So what we're saying is, we invite and are actually thinking very big about the MDD and PPD opportunities and we'll use an omnichannel approach leaning in on digital to start. But we're also saying that we're going to be smart about capital allocation and think about starting at an appropriate size with salesforce with DTC and other omnichannel tools and then scale with success. I think it's a best practice to put the right capital allocation to launch And as you see uptake with SIG (ph) with primary care, they continue to scale with that uptake rather than scale ahead of that uptake. Lessons learned from many, many drug launches that sometimes companies over capitalize the launch. So we're being very clear that we're going to spend appropriately to launch well. We anticipate success of launch and then we'll scale with that success rather than scaling before the success. Chris, or Kimi, anything to add?
Chris Benecchi: Yes, Barry. I'll take it first and then I'll pass it over to Kimi. So with respect to what we've learned from key opinion leaders and clinicians from both market research and scientific exchanges that functionally they want faster relief and they want a therapy that can not only deliver that fast relief, but sustain that relief over a period of time without the stigmatizing side effects associated with other antidepressants that they've become all too familiar with over the last 30 to 35 years. With that said that, that in and of itself is something that we've seen from zuranolone over the course of the LANDSCAPE and NEST studies. So with respect to our go-to-market approach, it's going to be absolutely important that we get out there quickly with that message, with the data that we have to reach those clinicians that you talked about getting to with an omnichannel approach, also making sure that we're able to reach patients with that message around what zuranolone has the potential to deliver. And without saying, but I will mention that it's important for us to think about educating and proactively partnering with payers to make sure that they're aware of zuranolone and its approval and what it ultimately can deliver. As you might imagine, we've already had those conversations with payers and we'll continue to stay engaged with payers, educating and proactively preparing for the launches of zuranolone with that important stakeholder group. Kimi?
Kimi Iguchi: Yes. So, Marc, I think, again, your question about [indiscernible] scaling is a great one right now, especially in this environment. We're going to be very smart about how we ramp up our costs in the SG&A side and that's part of that scaling that Chris just talked about. But we're thinking about that across the entire organization. So even in the R&D space, we're thinking about it across G&A, we're thinking about it is how to be very smart and disciplined in our investing. And a good example of that was really the decision we made with SAGE-904 to halt that program because it didn't meet the criteria that we had set forth. And so we're going to continue that we have balance sheet, but we're still being very disciplined in how we think about investing our capital.
Barry Greene: And Marc, your question about SAGE-718, we highlighted earlier in the call the initiation of Huntington’s, Parkinson’s and by the end of the year, the Alzheimer’s study. And as those studies ramp up and sites come online and accrual, is clear. We'll provide updates on when the data will read out.
Marc Goodman: Thanks.
Barry Greene: Thanks, Marc.
Operator: Thank you. Our next question comes from Vikram Purohit with Morgan Stanley. Your line is now open.
Gospel Enyindah-Asonye: Good morning. This is Gospel on for Vikram. Thank you for taking our question. You mentioned in the release that no label changes for ZULRESSO are expected that based on the SUNBIRD Study. Could you provide a bit more detail on what you observed in the study?
Barry Greene: Yeah, Gospel. Thanks for the question. So the SUNBIRD Study was evaluating the safe use administration of ZULRESSO in a home use setting. As you highlighted, we don't plan to make any label changes. There were no new safety signals related to ZULRESSO identified in the study was kind of a human use potential study rather than placebo controlled efficacy study. The study enrolled as expected and recruited on time. And importantly, the SUNBIRD Study allowed Sage to develop the operational capability to run a virtual or decentralized study model that we'll leverage in future studies. So we remain committed to providing optionality to moms with PPD. And we're really optimistic that particularly with the output of SKYLARK that zuranolone if approved will significantly prove access for women in need of treatment for PPD.
Gospel Enyindah-Asonye: Thanks for the update.
Barry Greene: Thanks, Gospel.
Operator: Thank you. Our next question comes from Gary Nachman with BMO. Your line is now open.
Gary Nachman: Thanks guys. Good morning. So in your early payer discussions on zuranolone, when you consider pricing, what will you assume for average number of treatment courses per patient per year based on the SHORELINE data? And how do you think that's going to factor into pricing and how payers are going to view the drug given its profile? And then, just I guess more generally, what is the market research telling you about each of the MDD and PPD opportunities. And where you think zuranolone may have a bigger impact early on when it's launched, both from a payer standpoint also in terms of physician and patient desire for the drug? Thanks.
Barry Greene: Thanks, Gary. Let me turn it over to Chris and I'll loop back at the end?
Chris Benecchi: Yes. Thanks, Barry. So with respect to the first question around pricing, obviously, early to get into discussions specifically on where we're going to be with pricing. So agent Biogen will provide that clarity on pricing in and around the time of approval, if we're successful. What I can say is that as we think about pricing, we're thinking about it in relation to how it interplays with access at the same time. So with respect to both pricing and access, it's critical that we design an approach that considers the needs of payers themselves, physicians as well as importantly, the patients who ultimately use (ph) the product. Now our overall goal if zuranolone is approved is to ensure that appropriate patients are able to get zuranolone for both MDD and PPD. Maybe you can get it when they need it. And that clinicians can drive the product without any sort of mission in the process. Now what that means is that we as an organization need to partner with payers to make sure that things like prior authorizations and step that as its mitigated by virtue of the way that we collaborate and think about the contracting process. I know historically, we've talked about opportunity for us to introduce proactive value based agreements with this important stakeholder audience and that's going to be an important piece of the strategy as we think about how we're going to make sure that the product is ultimately available. So we're leaning in on those VBA conversations that we're having right now in and around conversations around unmet need and the data that we've been able to demonstrate with respect to LANDSCAPE and NEST around how zuranolone has a the potential to offer a distinct opportunity for payers to make the product available for those with both MDD and PPD. So more to come on price, but we're thinking the approach holistically in and around pricing and access. And again, making sure that we're educating and [Technical Difficulty] partnering with payers with the goal of enabling at launch access. I think the question around some of the opportunities and where we figure impact with respect to HCPs, payers and patients Taking a step back and thinking about the opportunity in the marketplace, with respect to depression, there are 21 million or so people that experience one or more depressive episodes in a given year. And given that number, there still are 7 million patients in MDD who are either new to therapy, adding therapy or switching therapy. What we know from the market research is [Technical Difficulty] given that there are a number of generic medications that have been available now for 30 to 35 years, there still is profound unmet need and patients need new therapies with new MOAs like zuranolone that offer rapid and lasting relief without the tolerability issues and the stigmatizing side effects that you see with other therapies that they've become with [Technical Difficulty] all with just a 14 day course of therapy. Again, I think in MDD for those patients that are new to therapy, adding therapy or switching, it offers a profound opportunity. Our opportunity there is to really make sure that out of the gate if the launch of zuranolone that we are engaged with those clinicians and we demonstrate the opportunity to introduce zuranolone early in the treatment process where patients can have the best expected effects with both MDD and with PDD. Now with respect to payers, I covered all payers and what I think the opportunity there is in and around to educate and proactively partner with those payers. So I'm not going to say. And last but not least, I think patients I think as Barry noted in our -- in his comments about our go-to-market approach, it's going to be really important from an omnichannel perspective that patients early are aware of zuranolone and the distinction at zuranolone offers relative to perhaps the way that they've experienced other antidepressants in the past with respect to the rapid onset of action and the sustained relief all over just requiring a two week course of therapy. So with that said, Barry, I hand it back to you to cover off on anything I may have missed.
Barry Greene: Yeah. Chris, you covered it well and Gary, I hope that's the answer. I guess just a point on use, we believe that since ZULRESSO is the only approved drug in PPD and zuranolone if approved will be the only oral medicine that if we do our job right, zuranolone will quickly become standard of care in PPD, one and eight live births, about half a million women a year. experienced PPD and with an available drug, we do believe that diagnosis rates, risk factor assessments will go way up because now there's something to do about it. In MDD, Chris covered it well. There's a significant opportunity. There's some places where zuranolone will be used to interrupt the cycling of many antidepressants of patients experience and other groups like young adults where we believe that that zuranolone should be used as quickly in the treatment paradigm as possible, but more on that to come.
Gary Nachman: Okay. Great. Very helpful. Thank you.
Barry Greene: Thanks, Gary.
Operator: Thank you. Our next question comes from Neena Bitritto-Garg with Citi. Your line is now open.
Neena Bitritto-Garg: Hey, guys. Thanks for taking my question. I just want to go back to some of the questions on SHORELINE that were asked earlier. I was just wondering if you could give us an update on how physicians that you interact with and the FDA are thinking about the retreatment criteria, specifically that we're used in SHORELINE and how well that aligns with physician practice and how they would actually think about retreating a patient? I'm really just trying to understand if the one to two treatment course per year will translate into the real world setting? Thanks.
Barry Greene: Yeah. Thanks, Neena. We believe that SHORELINE represents a real world evidence study. The agency is looking for more and more real world evidence and SHORELINE checks most of the boxes for what you're looking for with real world evidence studies. Keep in mind that patients were diagnosed with MDD, they were given drug for two weeks. Then on day 15 and on, they know they're not on drug. So if there was a likeability or any need to be on drug, we'd see a lot more retreatment. The fact that a majority of patients stayed well after one course of treatment for a full year is a testament to the durability of zuranolone and in fact that 80% of patients who responds to the initial two week treatment with zuranolone 50 milligram only received one or two treatments for the course of the year, with a median time up 249 days. So as you heard from Chris, today's practice is to diagnose a patient, give them a prescription instead of instructing them that to hang in there, this could take four to eight weeks to work. I believe physicians will tell their patients that they should feel better in as little as two or three days after two evening courses of zuranolone. And as is done with practice today, physicians – our offices often check back in two weeks. Today, they're checking back to understand the side effect profile and if any other drugs are required to minimize side effects, GI effects, potentially sexual dysfunction that's seen at that time. And then in this case, it's how patients are doing after the two weeks. And then classically, there's a six month follow-up. So as Chris highlighted, this is a paradigm shift in how depression is treated, but not necessarily a paradigm shift in how a physician practices with their depressed patient.
Neena Bitritto-Garg: Got it. Thank you.
Barry Greene: Thanks, Neena.
Operator: Thank you. Our next question comes from Stephen Mallon with RBC Capital Markets. Your line is now open.
Stephen Mallon: Right. Thanks. This is Steve on for Brian. Congrats on the progress and thanks for taking our question. Curious, if you can provide a bit more color on what you're expecting to see in the Phase 2 work with NMDA PAM and how you are thinking about making a go, if no go decision inherent efficacy, especially given the significant variability and potential responses in run-in periods from the Phase 1? Looking for stat sig there on efficacy or just trends and what will give you confidence to move forward? Thanks.
Barry Greene: Steve, thanks for the question and thanks for the congratulatory note. I'll start and then ask Al to comment. So what's remarkable about SAGE-718 first-in-class and NMDA PAM, is that in the early work to date, the ketamine placebo controlled studies, the Huntington's, Parkinson's and Alzheimer's study, we actually saw a rapid improvement in cognition in a short period of time, either in two or in some studies four weeks. We saw it in two weeks, but continued up to four weeks. As you're well aware, studies drug and recognition to date or dementia to date have with a very large and with a very long time tried to demonstrate most not successfully the slowing of cognitive decline over a period of time. So we're looking for improvement in cognition. If you think about the Huntington's study where we're running parallel studies demonstrating the numerical change, but also kind of what it means in real life. We believe that that's -- if dramatically positive, that translates into a package that we'd be enthusiastic to meet with the agency and talk about the fastest path to clinic. For the Parkinson's and Alzheimer's study, we're looking for a broad benefit risk profile, trends in that improvement, but likely Phase 3 studies to follow. So, Al, anything to add there?
Albert Robichaud: Yeah, Barry. I think it's interesting that most of the studies that are involved with these diseases in the past with other drug approaches or other approaches are specific to those disease types. You have specific studies trying to reduce a beta or [Technical Difficulty] tangle and disease, after snooping and the other diseases as well. Our approach is looking to improve brain circuitry and synaptic function and what we're seeing, as you pointed out, very similar results in all three of those studies, which is very encouraging. We're seeing very rapid improvement in executive function and memory. With most of the approaches that are looking upon a disease by changing the position of the plaque, which is respective disease. What we're seeing is, those take because you're looking to modify the course of disease and stop the degradation of the brain. What we're doing is we're improving static function and that's why I think we seen results in a very early amount of time as you point that out.
Barry Greene: Yeah, Steve. Hopefully that answers your question. What we believe we are developing with SAGE-718 is a disease course modifier. And the idea here is to improve executive function, learning and memory allowing patients living with these conditions to live more independently for a much longer period of time.
Stephen Mallon: Great. Thanks. Thanks.
Operator: Thank you. Our next question comes from Joon Lee with Truist. Your line is now open.
Unidentified Participant: Good morning. This is Austin on for Joon. Thanks for taking the questions. Just another question on 718. We were just wondering if you could provide a little color on why you're starting a Phase 3 safety study on 718 before Phase 2? Thank you.
Barry Greene: Yeah, Austin. Thanks for the question. So with SAGE-718, we've been pretty clear that we are running a series of Phase 2 studies, so Huntington study and Parkinson's studies have been kicked off. The Alzheimer's study will be kicked off by the end of the year. We've designed the Huntington study in a way that we'll have numerical changes and kind of real world evidence on what that means as Al talked about in the comments. And if those data are robustly positive, we'll meet with the agency on the most rapid approach to get SAGE-718 to market for Huntington's. For Parkinson's and Alzheimer's following the Phase 2 studies, we'll likely run Phase 3 studies based upon the learnings from the Phase 2.
Unidentified Participant: Okay. Thank you, and congrats on the progress.
Operator: Thank you. Our next question comes from Danielle Brill with Raymond James. Your line is now open.
Alex Nackenoff: Hi, guys. This is Alex on for Danielle. Just a quick one going back to RAINFOREST. I know you qualitatively addressed this question in the most part. I wonder, if you could expand a little bit more on the depression symptom amelioration, specifically what the point delta was for HAMD at the end of the 14 day treatment period?
Barry Greene: Yeah, Alex. What you will – will it upcoming medical meetings present RAINFOREST? Just as a reminder, it was we stopped both that and REDWOOD with a 30 milligram dose after consulting with the agency. They're not required for regulatory filing and it enrolled very -- and did not fully enroll. So the stats plan can't really be looked at. What we can say today is that the profile of zuranolone in RAINFOREST with consistent with data seen to date. That is improvement in depressive symptoms, anxiety, and as the purpose of the study trends to improve sleep, sleep architecture. And again, we'll report more out in upcoming medical conferences.
Alex Nackenoff: Great. Appreciate the color.
Barry Greene: Thanks, Alex.
Operator: That concludes today's question-and-answer session. I'd like to turn the call back to Barry Greene for closing remarks.
Barry Greene: Thanks, operator, and thank you all for joining us this morning to review our second quarter progress. As we work to advance clinical and preclinical programs across our franchises, moves around and closer to launch commercialization if approved and reinvest our learnings and efforts to develop and launch transformative great health medicines across the organization, we're deeply committed continuing our focused execution in the balance of 2022 and beyond. Look forward to future updates on our progress and our mission to pioneer solutions to deliver life changing brain health medicines, so every person can thrive. Thanks again everyone. Have a great day.
Operator: This concludes today's conference. Goodbye. Thank you for participating. You may now disconnect.